Operator: Good afternoon, ladies and gentlemen. Welcome to the TD Bank Group's Q3 2019 Conference Call. I would now like to turn the meeting over to Ms. Gillian Manning, Head of Investor Relations at TD Bank. Please go ahead, Ms. Manning.
Gillian Manning: Thank you, operator. Good afternoon and welcome to TD Bank Group's third quarter 2019 investor presentation. We will begin today's presentation with remarks from Bharat Masrani, the Bank's CEO; after which, Riaz Ahmed, the Bank's CFO will present our third quarter operating results; Ajai Bambawale, Chief Risk Officer, will then offer comments on credit quality, after which we will invite questions from prequalified analysts and investors on the phone. Also present today to answer your questions are Teri Currie, Group Head Canadian Personal Banking; Greg Braca, President and CEO, TD Bank, America's Most Convenient Bank; and Bob Dorrance, Group Head Wholesale Banking. Please turn to slide 2. At this time, I would like to caution our listeners that this presentation contains forward-looking statements that there are risks that actual results could differ materially from what is discussed and that certain material factors or assumptions were applied in making these forward-looking statements. Any forward-looking statements contained in this presentation represent the views of management and are presented for the purpose of assisting the Bank's shareholders and analysts in understanding the Bank's financial position, objectives and priorities and anticipated financial performance. Forward-looking statements may not be appropriate for other purposes. I would also like to remind listeners that the Bank uses non-GAAP financial measures to arrive at adjusted results to assess each of its businesses and to measure overall Bank performance. The Bank believes that adjusted results provide readers with a better understanding of how management views the bank's performance. Bharat will be referring to adjusted results in his remarks. Additional information on items of note, the Bank's reported results and factors and assumptions related to forward-looking information are all available in our Q3 2019 report to shareholders. With that, let me turn the presentation over to Bharat.
Bharat Masrani: Thank you, Gillian, and thank you, everyone, for joining us today. Q3 was another strong quarter for TD. Earnings rose 7% to $3.3 billion and EPS increased 8% to $1.79. All of our segments performed well in the quarter. We generated good revenue growth as customers entrusted us with more of their business. Expense growth moderated, resulting in positive operating leverage, and we continued to invest in our capabilities to serve our customers better, today and tomorrow. These forward-focused investments are made possible by the strength of our business model. It has proven itself over time, delivering consistent earnings growth, anchored by a strong risk culture and robust balance sheet metrics. That includes a CET1 ratio that held steady at 12% this quarter after the repurchase of over 11 million common shares. This is a powerful testament to our ability to generate organic capital and an important source of strength and flexibility. This impressive enterprise performance was built on positive results in each of our segments. Let me turn to them now. Canadian Retail had another good quarter in Q3, with earnings up 3% to $1.9 billion. Revenue growth was strong and the rate of expense growth slowed, contributing to positive operating leverage. We continued to elevate the customer experience, introducing a number of innovative solutions. In the Personal Bank, we launched an international remittance tool that allows TD customers to send money via Easy Web for cash payout at more than 500,000 Western Union locations around the world. It's a simple and intuitive experience, leveraging our digital and money movement capabilities, a great example of working together as one TD to help our customers more particularly in the important New to Canada segment. TD Canada Trust also surpassed the 5 million mark for active mobile users this quarter, solidifying our leadership position as Canada's largest digital bank. In our wealth business, building on last quarter's Greystone Fund launches, we introduced a new real estate pooled asset trust for high net worth clients and seeded a global real estate fund. With these product innovations, we are staking out a leadership position in proprietary alternative offerings. In the direct investing side, we refreshed our Learning Center with extensive online resources, including curated video-learning journeys and live online workshops. And in our insurance business, the TD Insurance app is now powered by the same technology behind TD for Me, our banking app's digital concierge. It offers enhanced content and location management capabilities, including the ability to direct customers to the nearest TD Insurance auto center. Across our Canadian Retail franchise, we continue to win more business by making it easier for our customers to engage with us, whether it's giving people the ability to send money to family and friends around the world, equipping investors with investment choices and educational resources to build their wealth or providing support to drivers on the road, it's about being there for our customers when and where they need us and providing them with the advice and capabilities they need to feel more confident about their financial lives. Turning to the U.S., earnings in our U.S. Retail bank rose 6% to USD 747 million this quarter. Revenue increased 4%, reflecting strong loan and deposit growth and higher fee income. We generated over 100 basis points of positive operating leverage and with the contribution from TD Ameritrade, up 17%, segment earnings increased 9% to USD 967 million, a new high. We also continued to invest in our core infrastructure and digital platforms to power the next generation of personalized, connected human experiences for all of our customers, including an active mobile user base that exceeds 3 million. We launched a new digital mortgage offering to make the application process simpler, faster and easier. It combines self-serve tools for easier access with face-to-face guidance when customers want it, and it has reduced processing times, resulting in higher overall experience scores. We also delivered more convenience for customers who have accounts with both TD Bank and TD Ameritrade. They can now get an integrated view of their banking and investment accounts on TD's digital site and access their Ameritrade accounts from the TD website or mobile app, a better experience for our customers and another step forward in our strategic relationship with TD Ameritrade. Our wholesale bank earned $244 million this quarter, up 9% from a year ago as higher trading-related revenue offset lower advisory and equity underwriting fees. Our U.S. dollar strategy continues to show steady progress. Since the beginning of the fiscal year and against the backdrop of softer industry-wide new issuance volumes, we gained market share. We're lead book runner on more than 100 U.S. investment-grade deals and more than doubled the number of U.S. ADS lead book runner mandates. We were active in the Green Bond space again this quarter, participating in 12 green or sustainable bond issuances, including joint leads on the World Bank's inaugural Euro mandate, KSW's first trailing green SSA offering of the year and LBBW's inaugural U.S. dollar green covered bond out of Europe. TD Securities was named 2019 Canada Derivatives House of the Year by GlobalCapital for the second year in a row as well as Coming Force in SSA Bonds, reflecting the strides we made in building out our capital markets business. And for a second year in a row, we tied for first place in overall Canadian fixed income as a Greenwich Share Leader and Greenwich Quality Leader. These results demonstrate the success of our strategy to build long-term client relationships as well as our commitment to quality service and excellence in execution to deliver for our clients. All-in-all, a good performance by our wholesale business as we continue to execute on our strategy to add scale and diversification to our client focused franchise dealer. Overall, I'm pleased with our performance at this stage of the year. Three quarters into fiscal 2019, EPS is up 6%, a good result given the uncertain macro environment and difficult start to the year in wholesale. As you know macroeconomic uncertainties persist. Trade and geopolitical tensions continue to escalate. Central banks are cutting rates and yield curves have declined and remained inverted for long periods. However, our diversified retail focused model has demonstrated its resilience in a variety of operating environments. And with the investments we've been making to modernize our operations and increase our efficiency, we are well-positioned to continue meeting our customers' changing needs and delivering value for our shareholders. As ever, we move forward united by our purpose to enrich the lives of our customer's, colleagues, and communities. They are at the heart of everything we do. We expressed our commitment to them in a variety of ways this quarter. In July, we celebrated TD Thanks You, our annual Customer Appreciation Day. In particular we recognized small business banking clients who've shown exceptional dedication and service to their local communities. The work they are doing, promoting female entrepreneurship, children's health, sustainable food practices and employment opportunities for people with disabilities to cite just a few examples is an inspiration to us all. We've always believed that we win the most customers at TD because we have the best people. So we were proud to be named one of the top three employers in this year's Indeed top-rated workplaces in Canada and to make a big move up in DiversityInc's Top 50 companies in the U.S. These rankings reflect many things, but above all a unique and inclusive employee culture. That culture was on full display this summer as we celebrated Pride 2019 in Canada and World Pride in New York. Thousands of employees joined together for events in over 100 cities across North America in support of the LGBTQ2+ community, and we launched the second annual TD Ready Challenge, focused on better health one of four drivers of change we are supporting through the Ready Commitment, our corporate citizenship strategy. This year's 10 grants of $1 million each will go to organizations that are helping improve access to early detection and intervention for disease with a goal of driving more equitable health outcomes for everyone. To wrap up, I would like to thank our more than 85,000 people for their hard work and dedication. They live our purpose and shared commitments each day and truly bring the TD brand to life. I'm proud of what we've accomplished together and I look forward to a successful finish to the year. With that, I'll turn things over to Riaz.
Riaz Ahmed: Thank you Bharat. Good afternoon, everyone. Please turn to slide 7. This quarter, the Bank reported earnings of $3.2 billion and EPS of $1.74. Adjusted earnings were $3.3 billion and adjusted EPS was $1.79, up 8%. Revenue rose 6% with increases across all our business segments. Provisions for credit losses increased 3% quarter-over-quarter and expenses increased 5%, reflecting business growth and investments in strategic initiatives. Please turn to slide 8. Canadian Retail net income was $1.9 billion, up 2% year-over-year, reflecting higher revenue and positive operating leverage. Adjusted net income increased 3%. Revenue increased by 6%, primarily reflecting volume growth and higher insurance and wealth fee-based revenue. Average loans increased 5% year-over-year and average deposits increased 3%, reflecting growth in both personal and business volumes. Margin was 2.96%, down three basis points sequentially, reflecting a prior period refinement in revenue recognition assumptions in the Auto Finance portfolio and competitive pricing in term deposits. Total PCL increased 13% quarter-over-quarter with increases in impaired and performing PCLs. Total PCL as an annualized percentage of credit volume was 29 basis points, up two basis points quarter-over-quarter. Expenses increased 6% reflecting higher costs supporting business growth and charges related to Greystone. Please turn to slide 9. U.S. Retail net income was US$967 million, up 10% year-over-year on a reported basis and 9% on an adjusted basis. U.S. Retail Bank reported earnings rose 6% year-over-year on revenue growth of 4% and positive operating leverage. Average loan volumes increased 6% year-over-year, reflecting growth in the personal and business customer segments. Deposit volumes excluding the TD Ameritrade sweep deposits were up 5% including 4% growth in core consumer checking accounts. Net interest margin was 3.27%, down 11 basis points sequentially primarily due to lower deposit margins and balance sheet mix. Total PCL including only the Bank's contractual portion of credit losses in the strategic cards portfolio was US$191 million, up 12% sequentially as a decrease in impaired PCL was more than offset by an increase in performing PCL. The U.S. retail net PCL ratio was 48 basis points up three basis points from last quarter. Expenses increased 3% year-over-year, reflecting business and volume growth and higher investments in business initiatives partially offset by productivity and elimination of the FDIC surcharge. The contribution from TD's investment in TD Ameritrade increased to US$220 million. Segment ROE was 12.9%. Please turn to slide 10. Net income for wholesale was $244 million, up 9% year-over-year, reflecting higher revenue and partially offset by higher non-interest expenses and higher PCL. Revenue increased 13%, reflecting higher trading-related revenue, partially offset by lower advisory and equity underwriting fee. Expenses increased 12% reflecting continued investments in the global expansion of our U.S. dollar strategy and the impact of FX translation. Please turn to Slide 11. The corporate segment reported a net loss of $173 million in the quarter compared to a net loss of $113 million in the same quarter last year. Net corporate expenses were lower year-over-year largely reflecting lower net pension expenses and lower enterprise projects in the current quarter. Please turn to Slide 12. Our common equity Tier 1 ratio ended the quarter at 12% level with the prior quarter. We had strong organic capital generation this quarter which added 41 basis points to our capital position. This was mostly offset by the repurchase of over 11 million common shares in the quarter and growth in RWA. Looking ahead to Q1 2020, we expect the implementation of IFRS 16 and the revised securitization framework to have a 20 to 30 basis point impact on CET1 capital which we expect will be mitigated by internal capital generation. Our leverage ratio was 4.1% and our liquidity coverage ratio was 132%. I will now turn the call over to Ajai.
Ajai Bambawale: Thank you, Riaz and good afternoon everyone. Please turn to Slide 13. The Bank's credit quality remained strong in the third quarter. Gross impaired loan formations were $1.46 billion or 21 basis points, stable quarter-over-quarter and up three basis points year-over-year. Please turn to Slide 14. Gross impaired loans ended the quarter at $2.9 billion or 42 basis points, down six basis points quarter-over-quarter and down three basis points year-over-year. The Bank's $351 million quarter-over-quarter decrease in gross impaired loans, primarily reflects the sale of impaired loans in the U.S. commercial portfolio attributable to the power and utility sector and resolutions outpacing formations in the U.S. RESL portfolios, partially offset by higher impaired loans in the Canadian commercial and wholesale portfolios. Please turn to Slide 15. Recall that our presentation reports PCL ratios both gross and net of the partner's share of the U.S. strategic card credit losses. We remind you that credit losses recorded in the corporate segment are fully absorbed by our partners and do not impact the Bank's net income. The Bank's PCLs in the quarter were $664 million or 38 basis points, stable quarter-over-quarter and up three basis points year-over-year. Please turn to Slide 16. The Bank's impaired PCL was stable quarter-over-quarter reflecting credit migrations in the Canadian Retail and Wholesale segments, offset by a decrease in the U.S. Retail and Corporate segments. Performing PCL increased quarter-over-quarter, largely reflecting normal cost parameter updates in the Canadian and U.S. consumer lending portfolios. In summary, as expected, we've seen some credit normalization this year in the Canadian consumer lending portfolios and the Bank's commercial lending portfolios. Overall, credit quality remained strong across the Bank's portfolios and we remain well-positioned for continued growth. With that operator, we are now ready to begin the Q&A session.
Operator: Thank you. [Operator Instructions] The first question is from Ebrahim Poonawala from Bank of America Merrill Lynch. Please go ahead, your line is now open.
Ebrahim Poonawala: Good afternoon. I guess first question Riaz if you can talk about just the margin outlook in Canada and the U.S. given that the forward curve in both markets are pricing in rate cuts. I just would love to get your thoughts in terms of the magnitude of compression we should expect as we look out over the next year.
Riaz Ahmed: Ebrahim thank you. As you know in Canada, we've said before that margins will bump around for a variety of reasons. And while there are some very strong underlying economic fundamentals with employment and business investment clearly the -- Canada is going to be affected by what really happens in the U.S. So -- and if we turn to the U.S. geography, the U.S. segment, again, on the ground as Greg will tell you, the activity is very good. We have a situation where employment is at record levels, consumer activity remains quite strong, and business investment is remaining quite positive and quite constructive. And you can see that in the -- in our performance in loan and deposit growth in the U.S. But clearly there are main macroeconomic certainties that are kind of driving rate considerations and expectations that at some point perhaps, we may see the economy slow. So, it's difficult really to give you any particular outlook on the rates because if it turns out that we might see trade uncertainties dissipate, we may see a return to greater macro confidence which would also help the underlying business conditions. So, I think as a matter of general outlook I'd -- it'd be difficult to give you a forward outlook. But clearly if the forward curves do play out, we would expect to see some margin compression as a result of that. But then there are also mitigating factors that as interest rates come down you might obviously continue to see loan volumes grow faster and credit performance should be better. So, I think that's -- you can see some very mixed conditions depending on which scenario you wish to outline.
Ebrahim Poonawala: Understood. And the 11 basis points margin compression that we saw in the U.S. this quarter, was there anything one-off in there that might reverse itself next quarter? Or is the $327 million the right base to think about how the margin may trend from here?
Riaz Ahmed: It is the right base. There are no unusual items to point out in that Ebrahim. About half of that is driven by just the rate compression that I talked about earlier, and then the other half is due to balance sheet mix that materializes from continued volume growth.
Ebrahim Poonawala: Got it. Thank you. I'll requeue again.
Operator: Thank you. The next question is from Steve Theriault from Eight Capital. Please go ahead. Your line is now open.
Steve Theriault: I had a question on Canadian P&C, but first if I could just follow-up, Riaz, on the NIM. Appreciating there's -- you can think about a lot of different scenarios. Do you think it makes sense at all to look back at either what your margin was or the delta in the margin following the last couple or few rate hikes of 2017 and 2018, to help us gauge future movements? Or has mix changed or anything else changed to the point where that -- you don't think that's a useful way to think about it?
Riaz Ahmed: No. I think that, Steve, doing a little bit of trending is always useful in taking a look at how things would change under various scenarios and you can see the mix change in the balance sheet as well as we can, because the loans and deposits categories are indeed disclosed. So, I think, it would be useful to look at that trending, but you also have to keep in mind, as I mentioned earlier that forward -- if you take a forward-looking view, you also have to take into account what changes that might bring along with volumes.
Steve Theriault: Yes. That's fair. Thanks for that. And then -- so on Canadian P&C, Teri, for the most part FTE has been for the last, at least a couple of years, pretty range-bound between 27,000 and 28,000 and stripping -- and that's stripping away the wealth component, so just looking at the Appendix on the supplemental. But this quarter jumped to I think just under 29,000. Is there anything temporary in nature in terms of that spike or maybe if you could just give us a bit of color on what's going on in terms of FTE in your -- in that division?
Teri Currie: For sure. Thank you. So if you look at the kind of our strategy around continuing to be a leader in acquiring new customers and then the embedded growth opportunity in the franchise, we've been working through in branch banking, as I had mentioned before, our future-ready strategy, where that's really around ensuring that we're elevating the capabilities of our people in the branch network and adding client-facing advisors, both in my business and in Paul’s business to meet the customer opportunity. So as we're doing that, we're seeing that sort of steady climb of client-facing advisors that we're adding. We've also been investing in more mobile mortgage specialists, so you're seeing the growth of them. And then, as we're implementing new initiatives to help the client experience, some of which Bharat talked about earlier, is the number one digital bank in Canada, some of the investments we're making in that IT space or in those capabilities are contributing to the growth. And then, finally, we've been adding in the operations and adjudication space as we've had strong growth in lending in the franchise, to ensure that we can get answers to our customers quickly when they make requests of us around loans, that's the most important thing to them, is helping them to understand what they can afford quickly, so that they can make their personal decisions. So in combination, those are the strategic investments we've been making in the business that have caused that increase in FTE.
Steve Theriault: Would you say there's upside from there as you can -- I think, your intention is to continue to hire more mobile bank specialists and so on. Would you -- and I mean and some of those things have been ongoing for a while, right? So -- 
Teri Currie: For sure. In this year, with the future-ready strategy, we've in particular been adding financial advisors in the branch network at an accelerated pace. We had last year a slower -- we had a slower pace coming into this year of -- we had more vacancies and then we were accelerating growth. So you've seen some accelerated growth this year for financial advisors in the branch in particular. We will continue to add advisors and invest at a pace that makes sense to deliver both short-term and long-term growth. The pace would likely come down a little bit as we go into next year.
Steve Theriault: Thanks for that.
Teri Currie: Operator, do we have another call?
Operator: Thank you. The next question is from Meny Grauman from Cormark Securities. Please go ahead. Your line is now open.
Meny Grauman: I wanted to understand a little bit better what was driving the parameter updates that were pushing up the performing loan provisions. If you could highlight some of the key movers here?
Ajai Bambawale: Thanks. It's, Ajai. So I would say, we regularly and on an ongoing basis look at our models and look at our parameters across our books. And so, for this quarter basically, we updated our parameters for the consumer portfolio in Canada and the U.S. and there was a bit of an uptick because of that. The uptick was in Canadian auto. There was an uptick certainly in Canadian cards. And then in U.S. cards, as well, particularly in the performing category. On the impaired side in the U.S., we actually saw a benefit. So really what these parameter updates are doing is, they are adjusting for underprediction or overprediction of PCLs. And they are sort of a onetime true-up. So it's pretty much normal course activity.
Meny Grauman: Okay. I guess, what I'm getting at is, we saw a big move in the yield curve over the last little while and higher probability of recession. I'm wondering if those factors or factors like that changed or get captured in the modeling for performing loan provisions.
Ajai Bambawale: Yes. We -- so we certainly consider macro changes, but the macro change impact, I would say, was slightly beneficial. So it's not -- macro is not driving this parameter-related increase.
Meny Grauman: And in terms of that net positive for macro factors, what's the key positives? I can think a lot of the negatives, but what would be the key positives?
Ajai Bambawale: So, good follow-up. So I would say that in Canada, we certainly updated our 2019 GDP numbers. There were slightly better employment numbers in Canada. And as you're aware, home prices are firming up as well. And in the United States for 2019 in particular, slightly -- growth for 2019 was updated. Those were really the drivers.
Meny Grauman: Thank you. 
Operator: Thank you. The next question is from Robert Sedran from CIBC Capital Markets. Please go ahead. Your line is now open.
Robert Sedran: Hello. Good afternoon. A question for Teri, please. I just -- I noticed the mortgage growth is starting to pick up a little bit after a period where HELOCs were definitely dominating the business mix. I know, you've kind of talked about this a little bit in the past, but is this reflecting more of a maturation of the new HELOC product or is there something -- a conscious decision to shift more business towards the mortgage product?
Teri Currie: Thank you. It's not -- I mean customer by customer, we will help them make the right decision about the mortgage product that makes sense for them or the RESL product that makes sense for them. And it is often the case that the hybrid HELOC product with its flexibility makes sense. We're seeing a little bit right now and just in terms of rates of people going to fix rate versus float and so that would explain a little bit of the mortgage growth. But, in general, really pleased with the continuing sort of 5% growth in total RESL and the investments we've made in that business.
Robert Sedran: Is that a kind of growth rate especially as Ajai noted the prices are affirming a little bit? Is that a rate of growth that you think is reasonable as we look out? I know it's difficult to look too far out but is 5% RESL growth something you're comfortable with continuing?
Teri Currie: We're certainly comfortable with the business that we have done and we've been at that sort of rate of growth over the last number of quarters as you know. There's lots of factors to consider but with the investments we've made in this business we've talked about kind of mid-single-digit growth in this business and that's certainly what we expect for this year.
Robert Sedran: Okay and thank you. And just to clarify, Riaz, when you were talking about that Canadian margin, it sounded like the decline in this quarter was more about the prior period than it was about this quarter, is that right?
Riaz Ahmed: Well, I think in both quarters, there were some adjustments that contributed to that. And so you're right most of the decline would be due to those items. Fundamentally would have been down one bp.
Robert Sedran: Okay, thank you.
Operator: Thank you. Your next question is from Scott Chan from Canaccord Genuity. Please go ahead. Your line is open.
Scott Chan: Good afternoon. I just wanted to go to Wholesale Banking and on the expense side. I guess for three straight quarters, it's been low double digits. And you called out Canadian investments in the global U.S. dollar strategy. Does that dissipate at some point? And should we expect expenses to normalize to a lower level?
Bharat Masrani: Yes, I think the run rate, as I've commented on the last couple of quarters that we're seeing this year overall which has been sort of in that $600 million level is what the steady state would appear to be. So as that plays out -- we've made a lot of investment in 2017 and 2018 and that's rolling through into 2019. That will reduce and I think the run rate where we are now we'll be at that level. So the year-over-year should come down then.
Scott Chan: Okay. Thanks. And just on the U.S. side. I just noticed some commercial, it was a bit light on the quarter. And I know it's just one quarter if we kind of compared to peers on the U.S. side. Was there something on the commercial side that you guys maybe pulled back on or should we expect this portfolio to still outpace personal going forward?
Greg Braca: Yes. I just want to make sure I confirm the question. You said you saw it as a bit light?
Scott Chan: The commercial on the U.S. side it was up 1% quarter-over-quarter. But still on a year-over-year basis it still outpaced personal, but if I kind of look across the peers…
Greg Braca: Yes. Thank you. I just wanted to make sure I was -- on a quarter-over-quarter between pay downs and movement and seasonality that's going to move around a bit. But I would say fundamentally, we've actually been seeing strong and very supportive C&I in overall commercial loan growth. Commercial loan growth for the quarter was roughly 7% all-in with commercial real estate. And if we went back just a couple of quarters ago, we would have been talking about more moderate rates of growth so it's good to see that we've actually been accelerating the growth in the C&I business over the last couple of quarters. The market's been constructive we've been spending a lot of time on various strategies for middle market and the commercial bank and we think it's performing quite well right now.
Scott Chan: Okay, thank you.
Operator: Thank you. The next question is from Doug Young from Desjardins Capital Markets. Please go ahead. Your line is now open.
Doug Young: Thank you, and good afternoon. Just on the credit side. Wanted just two things I guess. There is an uptick in PCLs and growth impaired loan formations in Canadian Retail and hoping you can elaborate a bit on the drivers and I think in the MD&A there was a mention of insolvencies or whatnot. So I was hoping you can unpack that. And then the second thing on credit there was a reversal in performing loan PCLs in capital markets. I originally thought it was to do with PG&E but, I guess, that's actually in the U.S. Retail. So just wanted to understand what that reversal in performance loan PCLs and capital markets was related to. Thank you.
Ajai Bambawale: Thanks for the questions. So first on Canadian impaired. Yes, there's an uptick. I'd say a fair bit of that is commercial. And really what's occurring in commercial, we are moving off some very low numbers. And it's across 4-5 industries 4-5 borrowers, so, again, off low numbers but that's part of the numbers. And then I would say in the rest of the book the personal book there is an uptick particularly in unsecured credit, some in other personal, some in cards. In other personal, it's driven by some seasoning that's occurring because there's some select risk expansion we did a couple of years ago and there is an uptick in insolvencies that's also reflected there. And then the other category I'd call out is cards, again, a bit of an uptick because of insolvencies. And then the second part of your question on capital markets, again, the reversal there is largely model-driven. So we updated our ECL models in capital markets and so that's a model-related release.
Doug Young: And what was updated in the model that would have driven that…
Ajai Bambawale: It's all the parameters that would drive the release.
Doug Young: Is there any one in particular, or is it just across the board?
Ajai Bambawale: It's across the board.
Doug Young: But doesn't it sound like in the Canadian Retail side, although, you note in your call out certain items it doesn't sound like they're concerning to you. Is that a fair statement?
Ajai Bambawale: Yes, because, again, we are moving off very low numbers. If you actually go back and look at Q3 of 2018 we were at 24 bps. We're at 29 bps now. So, overall, we're still operating within a very acceptable range. But, again, I will remind you we're late in the cycle and I do expect some gradual normalization in credit losses. I actually in our Q1 call did message that and it's actually turning out as expected.
Doug Young: I mean, would you say 29 basis points is normal or would you -- where would normalization land on the PCL rate for Canadian?
Ajai Bambawale: So good question. I don't think that's a number we disclose. But what I will tell you is that 25 to 30 still is a low number and normal would be higher than that.
Doug Young: Okay. Thank you.
Operator: Thank you. The next question is from Sumit Malhotra from Scotia Capital. Please go ahead. Your line is now open.
Sumit Malhotra: Thanks. Good afternoon. Start with a numbers related question for Teri in Canadian personal and commercial. Looking at your fee income line for the quarter, up 1% year-over-year and we didn't see the normal seasonal increase from Q2 to Q3, which at the very least the day count usually helps. Was there anything that depressed the fee number this quarter that was out of the ordinary that may be resulted in overall revenue a being a bit later?
Teri Currie: Thank you. So there were a couple of items this quarter and a couple of items last year that would represent a couple of points in the other income. So that would definitely be part of the story there. So think of it more like 3% to 4% growth. And then I'd say just to comment on the business itself, really strong core checking and savings growth at over 4% and retail card sales up 2%, so maybe a little bit lower but certainly good momentum there. And we're still looking forward to the Air Canada partnership in the future. Couple of small items. Mortgage discharge fees were a little bit lower I think that's probably timing. And our wealth referral fees were a little bit lower. And as we've gone through this change in the branch banking network I think that's just really a function of the change we're going through and it's not something that worries me. I'd say there's been a good trend on other income and expect good business growth going forward.
Sumit Malhotra: The 3% to 4% in your view is a more reasonable run rate expectation?
Teri Currie: Certainly. We've seen good growth momentum and would continue to expect to see that.
Sumit Malhotra: Thank you. And then across the border to U.S. personal and commercial for Greg. I think both in this quarter and also nine months -- over nine months, your expense growth in the business is 3%. Off the top Bharat mentioned the many initiatives that are underway in terms of technological spend and the offering to customers. When we take into account some of the comments on the rate backdrop and what that might mean for revenue, how are you thinking about your level of investment spend and expense growth of the business? Is 3% a reasonable level that you can keep or is it perhaps a little bit low in light of some of those investments that were discussed?
Greg Braca: Well, maybe just backward looking I'll start with that. I think we've tried to strike the right balance and you've seen that bump around quarter-over-quarter just in 2019 from first quarter to second quarter to third. And just given the nature of the business, you'll probably continue to see that bump around from quarter-to-quarter. I do think it's part of the art as much as anything is how do we strike the right balance with making sure that we are building the digital bank for the next decade that we are making the right investments that we're investing in frontline facing capabilities and employees in digital. And quite frankly I think you're seeing that in the growth numbers play out real-time both in terms of the consumer bank, small business, the commercial bank and things we're doing around our wealth business. That is certainly -- we spent a lot of time and energy building the capabilities around that in the U.S. And a lot of these capabilities didn't exist, five, seven, eight and certainly 10 years ago. So do I think we're getting the right balance right? I think we are. I would also say that we're also trying to make sure we're as efficient as possible. So we've talked before about BAU business as usual expenses versus build the bank and making sure we're making those right investments. So how we’re getting cost out, how are we digitizing the bank and using new tools and capabilities just as important. I think that narrative has to continue to play out. And we're going to be mindful of getting that balance right going forward.
Sumit Malhotra: How does that balance off your -- how does that balance take into account that fact that for a period of time your net interest income, which is obviously the bulk of your revenue is growing at double digits and now it's half of that in this new world order for interest rates. Does that balance -- getting that balance right allow you to slow the level of investment spend or is some of that expenditure already in the pipeline and set in stone so to speak?
Greg Braca: Well, the good news is that you've heard us talk about a number of investments that we've made over the last few years in platforms in terms of capability in building the infrastructure. We think that is awfully important and I think that's true. But we will continue to make want to make investments going forward and we're going to have to balance the environment we're in. And I think the leading organizations that get this right will be the ones that just don't fold up the tent because the environment they're in that they are still able to find the headroom by freeing up capacity or being efficient in other areas to make sure there are investing in their priorities. So we shouldn't kid ourselves that the environment gets more difficult or the slope of the curve continues the way it is, we're going to have to be smarter around that going forward.
Sumit Malhotra: Thanks for your time.
Operator: Thank you. The next question is from Nigel D'Souza from Veritas Investment. Please go ahead. Your line is now open.
Nigel D’Souza: Thank you. Good afternoon. I had two quick questions. The first is to circle back on a point you made earlier. I believe I got it correctly, the impairments that you were seeing on the Canadian commercial book that was driven by multiple accounts. And if I look in your -- or multiple sectors and if I look in your supplement, I see automotive, construction, metals and mining, and oil and gas. Am I identifying the right sectors here that drove that? And is it correct that it wasn't driven by a single account, it was driven by a few sectors?
Ajai Bambawale: Yes. You're absolutely right. Its a few borrowers across auto, industrial, other services. You'd see a few dollars in metals. I think there's a bit in retail. So, there's no single borrower and there's no real theme. I'd say these are more idiosyncratic issues.
Nigel D'Souza: Okay. So, that was my second follow-up. So, you still view it as idiosyncratic at this point in the cycle. And the second question I had and this is a more specific one and it's last one. For the commentary, you had on your updates to your modeling expect you've probably lost models under IFRS 9 for performing loans. I just wanted to check in with you whether those model updates and the true-up did it include a change or update in your scenario weightings? In other words are you weighting the adverse scenario more? Have you changed that? And is that expected to change given the current conditions?
Ajai Bambawale: Yes. So, we look at our scenario weighting every quarter as part of our governance. We did not change our scenario weightings for this quarter. Having said that, we believe we have an adequate weighting on the downside and our probability weighted allowance continues to be higher than our baseline.
Nigel D'Souza: Okay, that's really useful insight. Thank you.
Operator: Thank you. The next question is from Gabriel Dechaine from National Bank Financial. Please go ahead, your line is now open.
Gabriel Dechaine: Good afternoon. Couple of questions around the U.S. business. I'm sorry if I missed it, but the margin guidance for the U.S. did you provide any for the near term? And if not could you tell me what the impact of the Fed rate cut will be on Q4 margins given that it took place at the end of the quarter? And I've got a follow-up broader more interesting I hope.
Greg Braca: Gabriel, it's Greg. Thanks for the questions. No, we did not provide guidance. If you missed the earlier part of the call and what our view is around net interest margin going out. But we did cover off that obviously the Fed rate cuts and the general slope of the curve is generally not favorable. And our quarter-over-quarter number that you saw us down 11 basis points quarter-over-quarter is a combination of lower short-end rates in front-running the actual Fed rate cuts we saw in the market as well as balance sheet mix. So, that's how I'd answer that from a quarter-over-quarter perspective.
Gabriel Dechaine: In another way would you expect the linear relationship in your margin vis-à-vis Fed rate cuts plural or does it moderate over time because that's what another bank is saying?
Greg Braca: Yes. So, I think what we've talked about in the past is what it means on the way up. On the way down all things being equal on the short end of it from a spot number, just with U.S. retail bank I'm talking about now in U.S. dollars for every 25 basis points of cut is worth roughly $90 million pretax.
Riaz Ahmed: And Gabe it should be -- as Greg qualified that all things being equal, you should do the same book and if you're dealing with the same float mix of the book it should be linear.
Gabriel Dechaine: Okay. And my broader question. This issue combined with Ameritrade let's say because their revisions have been pretty substantially negative reflecting there a more challenging growth outlook as well. The combination of your U.S. business and Ameritrade has been at least 20% if not more of your growth over the past few years. How does the possible slowdown in these businesses affect your confidence in the 7% to 10% growth maybe roll that out over the next year as well perspective-wise?
Riaz Ahmed: Gabe what I'd tell you is that first of all when you look at the U.S. Retail businesses over the course of the last three or four years you're quite right in pointing out that they have been fabulous for us and for delivering the franchise growth. Now, what we look at in terms -- the winning strategy for us over the years have been that we've built a franchise that is focused on delivering its customers' need and we underwrite consistently through various cycles and therefore pick up market share. And sometimes when we've gone through down markets, you've actually seen TD do better. So, I think if we focus on the right strategy, the macros will be what they will be. But as I've indicated earlier, when you see rates coming down there can be a number of offsetting factors in volumes or the economy does a little bit better. You can see better credit performance. And you might see for example in brokered spaces that cash on IDA balances, et cetera might actually increase. So, there can be some very good mitigating effects of rate declines.
Gabriel Dechaine: I'll leave it there. Thank you. Have a good long weekend. 
Riaz Ahmed: You too.
Operator: Thank you. The next question is from Darko Mihelic from RBC Capital Markets. Please go ahead, your line is now open.
Darko Mihelic: Actually just as a follow-up to that. Maybe just -- I mean I get idea A, balances may go up, but I guess the -- does the yield pickup that you have when the five-year U.S. dollars swap rate is over 150? I guess it's below that now. How does that factor into the numbers going forward? Is that just something that falls off slowly and gradually over the next few quarters? And am I right in thinking it's about $100 million or so of revenue?
Riaz Ahmed: You are correct, Darko, in saying that when those revenue sharing arrangements that go with interest rates come into play, they do play out over the course of the tractoring strategies that are undertaken. So it is a gradual slope up and therefore a gradual slope down. As to the quantification of it, we have not disclosed that before and I think you will be quite able to calculate it all off the public disclosures.
Darko Mihelic: Yes. Okay. Thank you. I appreciate that. And then just a question for Ajai. On slide 16, I appreciate that the parameter updates on the U.S. portfolio was in the cards. The corporate, though, shows performing as negative. I mean, can you just help me understand? That's the partner share right? So just maybe -- 
Ajai Bambawale: That’s right. So, again, parameter updates can impact portfolios differently. So what was happening on the strategic cards is -- so keep in mind, parameter updates are adjusting for either underprediction or overprediction. So if we were overpredicting impaired, for instance, in strategic cards is correcting for that. If we were -- if we're underpredicting performing then we'd correct for performing. So we actually saw benefit in strategic cards, because there were some overprediction.
Darko Mihelic: Okay. And we're going into the seasonal pick up in PCLs, I suppose, because of the indirect auto and credit cards in the U.S. Is there reason to think that this year it'll be different? And in terms of magnitude, like, should we be sort of expecting a similar normal sort of pickup in PCLs in Q4 for the cards and auto portfolio in the U.S.?
Ajai Bambawale: Yes. So, I did give you some guidance for the full year, which was 40 to 45 basis points. And I do expect for the full year, we'll be nearer the higher end of the range. And I'd say, the main reason for that, I mean, three quarters have played out is because U.S. tends to be high from a -- because of seasonality. So, I think, you should look at basically history to see where that number will be, but Q4 tends to be a high number for us.
Darko Mihelic: Okay. Great. Thank you.
Operator: Thank you. The next question is from Sohrab Movahedi from BMO Capital Markets. Please go ahead.
Sohrab Movahedi: Thanks. Ajai, you're a good guide to go to again. Just a quick question. Are you -- I know, there's been lots of investments on the technology side, but from risk management and collections in particular, are you adequately staffed or are you adding to your staff?
Ajai Bambawale: Yes. So what I would tell you is that, we've done a very comprehensive downturn readiness assessment across the bank and we're continuing to invest in areas including collections, both from a technology perspective and certainly, I'd say, from an FTE perspective we would ramp-up again depending on the situation. I don't think we'd ramp-up too much in advance, but we'll certainly have a plan on how to deal with it.
Sohrab Movahedi: So in other words, you haven't ramped up right now in that from a collections perspective?
Ajai Bambawale: I think, we're adequately staffed right now.
Sohrab Movahedi: You're adequately staffed, okay. And Teri, do you think you can generate operating -- positive operating leverage next year?
Teri Currie: So, we've talked about this year. Our goal over the medium term is to deliver positive operating leverage and we expect to do that for this year.
Sohrab Movahedi: Too early to talk about next year, is that right?
Teri Currie: I think, my friends around the table would say yes.
Bharat Masrani: Apart from that, Sohrab, this is Bharat Masrani. We've always said that we would like to continue to invest for the future. That's the hallmark of TD, that's how we create the franchise that we have, that's why you see the growth that you do. There will be instances where we may not have positive operating leverage for a particular period, because we are not going to compromise on great opportunities to invest. But our general aspiration and I think you've heard us say this before, is to generate positive operating leverage. But we shouldn't focus too much on a particular period or quarter or a year even, if the right opportunities present themselves.
Sohrab Movahedi: Bharat, since I just got you, any updated thoughts around inorganic capital deployment?
Bharat Masrani: Inorganic. Generally, Sohrab, at TD there's no doubt that we are good at acquisitions. I think, we've showed that in our history. In fact a lot of the franchises we've built outside of Canada have come through that. So, obviously, if there is any compelling opportunity that presents itself, we will always look at it very seriously. And in this current environment, with all these macro uncertainties, there's probably more opportunity that will present itself, depending on how long these uncertainties continue. So we will make sure that we look at all of those opportunities seriously.
Sohrab Movahedi: Thank you. 
Operator: Thank you. There are no further questions registered at this time. I would like to turn back the meeting over to Mr. Bharat Masrani.
Bharat Masrani: Thank you, operator, and thank you to all of you for joining us this afternoon. Once again, as I do every quarter, because it is important, I would like to take the opportunity to thank our 85,000 colleagues around the world, who continue to deliver for all of our stakeholders every quarter. Really appreciate all the effort they put into delivering for our shareholders as well. Thank you and see you in 90 days.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time and we thank you for your participation.